Operator: Good afternoon, and welcome to the Genesis Microchip Second Quarter Fiscal 2007 Earnings Conference Call. (Operator Instructions). We will be conducting a question-and-session at the end of the company's prepared remarks. At this time, I'd like to turn the conference over to Ms. Tonya Chin, Director of Investor Relations. Please go ahead.
Tonya Chin: Hello everyone, and thank you for joining us today. With me today are Eli Antoun, President and Chief Executive Officer; and Mike Healy, Chief Financial Officer. Today's discussion contains forward-looking statements, including without limitation, forward-looking statements regarding the company's revenues, gross margins, operating expenses, market share, and new products. The forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from those projected. Those risks and uncertainties include growth rate of the flat panel TV and LCD monitor markets and our customer share of those markets, customer inventory levels, our ability to introduce new products, gain design wins, and ramp new design wins to production volumes, changes in expected product yield and manufacturing capacity constraints, competitive pricing pressures, availability and pricing of panels and other display components, retail pricing for flat panel TVs, and seasonal consumer demand for flat panel TVs, sales of royalty-bearing products by our licensees and factors that affect stock-based compensation expense and tax rates. Other risk factors are listed in today's press release and the company's SEC reports, including but not limited to the company's Annual Report on Form 10-K for the fiscal year ended March 31, 2006 and the 10-Q for the quarter ended June 30, 2006. The forward-looking statements made today are the company’s targets and not predictions of actual performance. In the past, the company’s performance has deviated from its targets as of the beginning of the quarter. Participants are cautioned not to place undue reliance on these forward looking-statements, which speak only as of today’s date. The company does not undertake to publicly update or revise these forward-looking statements even if experience or future changes make it clear that any projected results expressed or implied in this discussion will not be realized. Any statements made by persons outside the company, speculating on the progress of the quarter or any other aspect of the company’s business will not be based on internal company information and should be assessed accordingly by investors. During the call, the company will refer to both GAAP and non-GAAP financial information. A reconciliation of GAAP and non-GAAP results in accordance with the SEC’s Regulation G is included in today’s press release which has been posted on the company’s website. Please note that an archived version of the broadcast is available on the company's website at www.gnss.com in the investor events section. Additionally, a replay of this conference call will be available through October 31 by dialing 719-457-0820. The replay access code is 3228245. And now, I would like to turn the call over to Elias.
Eli Antoun: Thank you, Tonya. Good afternoon everyone, and thank you for joining us today. In the second quarter, the company recorded revenues of $69 million, an increase of 23% from the fiscal first quarter. Revenues from our TV business were $45.7 million or 66% of total revenues. As we expected, the TV revenues were up a strong 45% from the first quarter driven by the seasonal build to support the upcoming holiday season. We experienced growth across all of our major geographies during the quarter with particular strength from our customers in Korea, Europe, and China. Revenues from our LCD monitor controllers were $23.3 million representing 34% of our total revenues. Total unit shipments of monitor controllers decreased 6% during the quarter to 11.5 million units. Our market share at our largest end customer in the monitor segment has dropped slightly as they have begun transferring volume shipments to a second-source provider. At the same time, we continue to ramp volume shipments of our Phoenix-U product into both tier one monitor OEMs in Korea. Non-GAAP gross margins were 45.1% reflecting the seasonal increase in our revenue mix towards the higher margin TV business during the quarter. Our non-GAAP operating expenses increased to $27.5 million. This is primarily due to the rollout of our DTV product family, which has necessitated the addition of several employees during the quarter. The quarter's operating expenses were also impacted by higher legal expenditures. Our GAAP operating margins improved by $5.1 million from the prior quarter on the strength of higher revenues and better gross margins. Finally, non-GAAP net income for the September quarter was $5.7 million or $0.16 per share. I will now update you on recent product and technology developments. During the past quarter, we demonstrated the industry's first DisplayPort IC at three major trade shows -- SIGGRAPH which is a high-end graphics show in Boston, EFA which is the world's largest dedicated consumer electronics show in Berlin and at C-Tech which is a premier consumer electronics show in Japan. DisplayPort continues to gather momentum as a very high bandwidth, open standard, and extensible digital interconnect for the future. The Genesis Solution demonstrated that DisplayPort will cost effectively address the whole range from full HD resolution at 120 hertz refresh rate with a single cable down to an entry level notebook panel connection with a single pair of wires. Both examples demonstrate that DisplayPort can be implemented with far fewer wires than any other competitive interconnect. DisplayPort greatly simplifies connectivity for streaming media from IC to IC and board to board within a system as well as from box to box. DisplayPort allows the streaming of up to 6 high definition TV channels with audio simultaneously using the same number of wires that current standards require in order to handle only one HDTV stream. In notebook PCs DisplayPort will be used to simplify the interconnect between the motherboard and the LCD panel while at the same time allowing for an increase in display resolution. We also demonstrated our Hudson 2 solution for the first time at C-Tech in Japan. Hudson 2 is a highly integrated flat panel TV controller that now includes a complete multi-standard audio decoder for worldwide TV platforms along with enhanced video capabilities and an optional HDMI port, all integrated into one IC. The Hudson 2 product brings Faroudja level video together with integrated audio capabilities to entry level flat panel TVs where the bill of materials cost is particularly price sensitive. We also demonstrated our [Quick Match] technology at C-Tech in Japan. [Quick Match] is a unique and proprietary panel matching technology which allows customers to quickly match the images on panels from multiple sources and to utilize that data in order to objectively evaluate image quality between panels. With the [Quick Match] technology from Genesis, customers will be able to significantly reduce the time and resources associated with this type of effort. At C-Tech we also demonstrated the latest version of our MCTi motion corrected temporal interpolation technology. Genesis MCTi offers both true motion judder reduction and blur reduction. Using proprietary motion vector estimation, we are able to produce very detailed images with smooth life-like motion without the typical blocking errors. The Genesis MCTi technology is being developed under our Faroudja brand and is initially targeted for the higher performance market where the demand for true motion reproduction is the highest, especially since the display sizes are larger and 10 ADP displays are more prevalent in that segment of the market. Our first IC solution is under development and should be ready for production release before the end of calendar 2007. We realize that there are other solutions today that are being marketed as motion compensation solutions. But based on what I saw at the EFA show, those solutions deliver a much lower performance than that of our technology. After our initial introduction, we expect to drive the capability of our MCTi technology into the mainstream flat panel TV market as we focus on cost reduction and integration going forward. In September at CEDIA, Sony announced their selection of our Cortez advanced video controller for use in its new high definition audio/video receiver model, which will carry the Faroudja DCDi cinema brand. We are excited about working with Sony and other leading AVR system manufactures to expand our video processing technologies into this adjacent market segment. I will now take a minute to update you on our digital TV controller solutions. The current Genesis DTV product, the PurVIEW HD 500, will be entering production with a few early access partners, including one tier 1 OEM in the near future. Genesis-based solutions will be unique in their ability to offer truly differentiated 10 ADP video and graphics quality solutions. The Genesis video expansion interface enables our customers to maintain the quality and sharpness of their graphics as the video portion of the image goes through the video processing subsystem. Most recently, we received the first engineering samples of our single-chip, ATV, VTV solutions, which is called the PurVIEW HD 200. Our early validation and evaluation results are very encouraging. We are on schedule to begin sampling to customers by the end of 2006. As we approach the completion of the 2007 flat panel TV design cycle, I would like to update you on our progress. Our goals on this effort were to maintain our position with our existing tier 1 and China customers, to increase our penetration at other tier 1s where our share has lagged historically and finally to continue to strengthen our position with the leading ODMs in Taiwan. With regards to our current tier 1 OEMs, we continue to hold strong positions at Toshiba and LG. I am also optimistic that these positions are likely to improve as we accelerate the delivery of products such as our single-chip ATV digital TV solution that meet these customers' worldwide requirements. Unfortunately, I am disappointed that we did not win the refresh of the Philips Singapore designs, from which we have derived the majority of our Philips revenue in the past few years. We are taking every possible action to win back those designs for the calendar 2008 platforms. As a first step, we did recently win some new Philips programs for calendar 2007 that will require higher end image quality. With regards to our progress in increasing penetration at other tier-1 OEMs, I am glad that we continue to make significant progress at one of the top three worldwide LCD TV OEMs. I am optimistic that our efforts will lead to significant market share gains at this customer in calendar 2007. In addition, as I mentioned earlier, I am pleased to report that we also now have a digital TV design win with our PurVIEW HD500 at a new tier 1 TV manufacturer, which we also hope will drive additional opportunities in the future, particularly as merchant opportunities continue to increase at this customer. Finally, we continue to invest in our ODM strategy in Taiwan to capitalize on the transition of tier 1 OEMs to ODMs for the production of an increasing proportion of their flat-panel TVs. Our ability to successfully penetrate some new TV customers has been as a result of close coordination with some of these top quality ODMs in Taiwan. We expect to leverage this transition into more growth opportunities over the next couple of years. Next, let me cover a new addition to my staff. Last month we hired Hildy Shandell as our new Senior Vice President of Corporate Development. I look forward to leveraging Hildy's extensive experience, most recently at Broadcom to help me drive the execution of our strategic acquisition in line with our corporate strategy. In other business, last week we announced the settlement of our patent infringement complaints against MStar in the US International Trade Commission or ITC. We've entered into a license agreement whereby MStar licenses certain Genesis microchip patents in exchange for undisclosed recurring royalties. This license allows MStar to ship infringing products outlined in the ITC's exclusion order into the United States. This settlement is positive for Genesis as it supports our commitment to protecting our significant investment into intellectual property and enables us to monetize certain elements of our IP. Finally, let me address our fiscal Q3 guidance. The weakness in our expected fiscal third quarter revenues is primarily from lower demand for flat panel TV controllers from a few of our leading customers. Our current analysis indicates that the primary factor derives from our customers having overestimated demand for their products in the European and the rest of the world markets for our fiscal second and third quarters. As a result, at the end of September their inventory levels have increased causing them to slow their orders in the December quarter. While we delivered on our second quarter results, I am disappointed with our outlook for our fiscal third quarter. The design loss at Philips is not acceptable and detracts from the gains of our customers -- other customers. I am personally involved in the effort to win back the platforms for the calendar year 2008. In the short term, we will manage our operating expenses closely to bring them in line with our revenues while maintaining the focus on rolling out our products. I am also ensuring that our roadmap and product development efforts deliver what our customers expect from Genesis, mainly the best image quality. I am optimistic that this problem is short term in nature and I am confident that we are taking the steps to reverse this trend. On my most recent trip to Singapore, Seoul and Tokyo, both current and new customers expressed enthusiasm for our solutions. We are committed to delivering these solutions in line with our customers' expectations for performance and schedules. With that, I will turn the call over to Mike to review the financial details for the quarter.
Mike Healy: Thanks, Eli. First, I'll discuss the financial results of the second fiscal quarter and then I'll provide you further details on our outlook for the third quarter. As Eli highlighted, total revenues in the quarter were $69 million, an increase of 23% from the June quarter. Revenues from our overall TV business were $45.7 million, a strong 46% increase from the prior quarter. Total LCD monitor revenues decreased 5% from the prior quarter to $23.3 million. TV controller shipments were up significantly to 5.5 million units in the September quarter. Of that our flat-panel TV controller units were 5.1 million units representing an increase of 46% from last quarter. The strong growth in flat-panel TV units during the quarter was primarily driven by an over 50% unit growth in both the Cortez family and Hudson video controllers. Driving this growth was the combined Hudson Plus Cortez designs at our larger TV customer that temporarily reversed our earlier two-to-one chip transition. Based on our calculation, the 5.1 million flat-panel TV units represented approximately 4.4 million TVs, which is a 40% increase from last quarters comparable number and consistent with the expected growth in the flat-panel TV end market sales for the December quarter. As a reminder, our customers typically order from us one quarter in advance of TV shipments. The other TV video category, which consists of digital CRT TV units and other units such as AV receivers grew 34% from the June quarter to 400,000 units. Flat panel TV ASPs decreased just 1% from the June quarter with modest part-for-part ASP declines mostly offset by an improved mix towards the Cortez product line during the quarter. Our shipments of LCD monitor controller units decreased 6% to 11.5 million units from the prior quarter, reflecting unit end market demand and a transition of our largest indirect customer to a second source provider as we had discussed last quarter. LCD monitor controller ASPs increased 1% as we experienced less pricing pressure and some positive mix changes due to an 18% unit growth in multifunction monitors. Next, let me review our gross margin performance. Our GAAP gross margins grew to 44.6% in the September quarter and our non-GAAP gross margins, which exclude stock-based compensation charges were 45.1% in the quarter, reflecting a strong increase to our higher margin TV business during the quarter. GAAP operating expenses were $32.7 million, which includes $4.7 million in stock-based compensation charges as well as $500,000 in non-cash amortization charges. Non-GAAP operating expenses were $27.5 million in the September quarter, up from last quarter and slightly higher than we had guided. The increase was partially due to the higher headcount and labor cost during the quarter. In addition, our spending is increasing for both testing and training as we ramp up towards the introduction of our PurVIEW HD200 chip. And finally, our legal expenses were higher than expected during the quarter as we worked to resolve some of our outstanding legal issues. Included in operating expenses are a few items I would like to review in a bit more detail as they will affect our expenses over the next few quarters. We have decided to move our corporate headquarters to another location within Silicon Valley. We are consolidating into one building which can accommodate our current and future employees as well as our increasing lab requirement. This move will reduce our rent expense by $400,000 per year, beginning in March 2007. There will be a few expenses associated with this move including building restoration costs, leasehold improvement, write-offs, and duplicate rent expense. Our September results included approximately $135,000 of these type of expenses. We expect each of the December and March quarters' operating expenses to include approximately $500,000 related to this move, most of which will be non-cash charges. Our tax-rate on a non-GAAP basis for September results continues to be low due to the allocation of income to certain jurisdiction and the benefit from our favorable tax structure. Our GAAP net income for the quarter was $0.1 million or breakeven earnings per share, although we showed noticeable improvement in operating margins. Our non-GAAP net income, which excludes stock-based compensation charges and amortization of intangibles, was $5.7 million or $0.16 per share on a fully diluted basis. Next, let me review the highlights of the balance sheet. Cash and short-term investments were down slightly to $179.3 million. Trade accounts receivable increased almost $9 million to $41.1 million driven by the sharp increase in sales during the quarter, and DSO or daily sales outstanding were relatively flat at 54 days. And finally, we ended the September quarter with inventory of $25.3 million, which is up $5.1 million from June and similar to the September quarter last year when we had an increase of $8 million. Inventory at the end of the quarter represents about 9 weeks of shipments, well within our targeted range of 8 to 10 weeks. At the end of the quarter, over 50% of our inventory was in WIP. We're actively managing our inventory levels in conjunction with our current revenue expectations. Now, let me address our guidance for the third fiscal quarter of 2007. We expect revenues for the December quarter to be in the range of $52 to $57 million, reflecting reductions in demand from a few key TV customers. Net revenue was particularly strong in the second quarter and had subsequently dropped off as we enter into the third quarter. In addition our billings and backlog quarter to date are noticeably lower than in prior quarters at this same time in the quarter. There are a number of factors contributing to this expected decrease in revenue. First, two of our largest TV customers have decreased their volumes with us for Q3 due to some build up of inventory in the September quarter, which needed to be sold through in the December quarter. Based on customers' feedback and forecast, some of those build up was probably due to inflated expectations in the European marketplace for end user demand. Also affecting the expected decline in revenues is the resumption of our two-to-one chip transition in the December quarter. We are expecting significant impact on units and $3 to $4 million impact on revenue due to this transition. Our customers in China continue to transition from Malibu plus 20, FOI 2200 to the Cortez product, but the majority of this decline is due to one of the largest TV customers moving from a combination of Cortez plus Hudson to Cortez Lite or Cortez plus in several designs. Additionally in the China LCD TV market, the domestic TV manufacturers most of which are our customers continue to lose some market share to the top tier TV manufacturers due to aggressive pricing. We expect to mitigate the impact of this loss as we benefit from the ramp up of the Sony Bravia TV designs in China. For the December quarter, we expect a 30% decline in flat-panel TV controller units over the September quarter. Approximately half of this decline is due to the two-for-one chip transition continuing at some of our customers. We expect flat-panel TV ASPs to decline around 5% as our mix shifts towards Cortez Lite and Cortez Plus. In addition, we expect our other TV category to be relatively flat with the September quarter, which is vastly different from last year where digital CRT ramped up significantly in the December quarter. We are expecting unit shipments for LCD monitor controllers to be relatively flat with September's volume of 11.5 million units. We anticipate overall ASPs for LCD monitor controllers to be down slightly from September. For clarity, we exclude any licensing revenue from our ASP calculation, but licensing revenue is included in our overall revenue guidance today. We expect GAAP gross margins to be in the range of 40% to 42% and non-GAAP gross margins to be between 41% and 43% primarily reflecting our expectations for lower revenues and a less favorable mix between TV and monitor revenues in the third quarter. We estimate total GAAP-based operating expenses to be between $31 million and $32.5 million. This estimate includes approximately $5 million for stock-based compensation and the amortization of acquired intangibles. We are expecting that our Q3 non-GAAP operating expenses will be flat to down slightly from September due to a decline in legal expenses and a reduction in certain IP development costs, partially offset by small increase in costs related to our headquarters move as we mentioned earlier. I would like to share a few more details regarding our expected loss of market share of Philips to help augment  when Eli talked about earlier. As we had said previously, we do expect Phillips Singapore to continue to ship TVs using our Malibu and 52xx controllers well into calendar 2007 but we do expect our volume to reduce sequentially each quarter throughout 2007. We expect our unit volume with Phillips to be reduced by 40 to 50% year-over-year, and thus our market share at Phillips to decrease by about half. In addition, as Eli mentioned we recently completed a license agreement with MStar semiconductor. While the terms of this agreement are confidential, I'm pleased that we have been able to monetize some of our IP in the form of license agreement that should provide a royalty stream for a period of time, depending on unit volume and other factors. We expect to start recording royalty revenues in our December 2006 quarter, and we expect the impact of these royalties will benefit our quarterly EPS by approximately $0.02 to $0.03, which has been included in our December quarter guidance. In summary, I'm satisfied with our financial performance in the September quarter, disappointed that we have not been able to sustain our revenue levels into the December quarter and we have lost some volume at one of our top TV customers. We are revisiting our operating expense level, and Eli and I are working on a number of actions that we expect will reduce our expenses. With that, let me turn the call back over to operator for questions. Operator?
Operator: (Operator Instructions). We will have our first question from Jay Srivatsa, Roth Capital.
[Jeff Fieldek]: Hi, yes. Thanks. This is [Jeff Fieldek] for Jay. You noted that the TV revenue could trend as high as 70 to 80% in previous discussions. Do you have any updated comments on how you see 2007 trending?
Eli Antoun: In terms of the total market?
[Jeff Fieldek]: Yes.
Eli Antoun: We tend to look at it from a unit perspective more than from a value perspective. We still -- all indications are that this year is still going to be between 55 to 56 million units flat-panel TV with maybe 50% growth for next year that takes it into the 70 to 75 -- maybe 80, let's say 75 to 80 million units.
[Jeff Fieldek]: And could you add any color, status update on DisplayPort?
Elias Antoun: As I said we've been demonstrating our first IC -- DisplayPort IC, which is as much a proof of concept and proof of what DisplayPort can do and it's become -- the momentum associated with that is quite positive. Our first volume unit product IC for DisplayPort will be in the flat-panel LCD monitor market on the IT side, and we expect that that first product will start shipping in production the second half of next year. Our largest end customer for LCD monitors, their roadmap is dependent on that and we are working to deliver to that.
[Jeff Fieldek]: Thank you very much.
Mike Healy: Thanks, Jeff.
Operator: We'll go next to Quinn Bolton, Needham & Company.
Quinn Bolton: Thanks. I just wanted to sort of clarify, sort of -- your comments about the inventory build in Europe. Do you think that this is sort of an industry wide build up, do you think it is at a select few customers, and do you think it's really contained in Europe, or do you think that there are also pockets of inventory outside of Europe?
Elias Antoun: Hi, Quinn. Good afternoon. Our strengths -- our end market strength is Europe and by extension the ROW because as you know, our top three customers are Phillips -- LG, Phillips, and Toshiba and that's where their strength is. So, we can comment for the most part towards Europe, it seems like the trends there are weaker, what we've heard recently based on other people reporting, that seems to be validated based on their own results. Our exposure into the US market is primarily at the very high end, so given that what some of the other people are talking about their volumes, we expect that the US and the Japanese market continue to do reasonably well, and China remains a fairly small market. It's not growing as fast as we would like it to but it is growing, but in the big scheme of things, it is relatively small.
Quinn Bolton: Okay. Then just wondering if you could comment, it sounds like there have been a few relatively senior management departures over the past few months, just wondering if you could sort of address any of those management changeovers and sort of how you planned to move forward to fill those spots or whether you have already filled those spots?
Eli Antoun: As you know, we filled the product development, the senior VP of product development spot back in May and actually that kind of started somewhat of a cascading effect. Today, I have a product marketing or a marketing role to fill as well as the operations role, and we are moving fairly aggressively in both of these directions. In some cases, some of the management had been here quite a while and decided they would like to go in for other opportunities and that makes a lot of sense. In some cases, it's -- I felt that we need to move a little more aggressively in the way we do things, execute a little bit better to the requirements of the market and we have worked together to try to facilitate smooth transitions in those areas.
Quinn Bolton: Okay. And then lastly, any comments about sort of business with LG for the North American market, Broadcom seems to be making a lot of noise about winning the number of designs there, so just wondering if you had a sort of response to those comments from Broadcom?
Eli Antoun: We prefer not to comment on what other people are doing because by extension we are also commenting on what our customers' product plans are. I think from our perspective, what's important to point out is that our PurVIEW HD 200, which is our single chip ATV, DTV solution, looks pretty good. When it comes out, it will reopen more and more opportunities for us in the US market. The US market has moved more aggressively than the rest of the world toward a single-chip analog TV, digital TV solution that is one of the primary reasons that we’re not doing very well in the US end market. When our solution comes out, we know for a fact -- well, let me put it this way, I feel very confident that that solution will be very, very competitive based on what Genesis can deliver.
Quinn Bolton: Great, thank you.
Mike Healy: Thanks, Quinn.
Eli Antoun: Thanks, Quinn.
Operator: Our next question comes from Tore Svanberg, Piper Jaffray.
Heidi Poon: Hi, good afternoon. This is Heidi Poon calling in for Tore.
Eli Antoun: Hi, Heidi.
Heidi Poon: First of all, I would like to ask if you could give us a sense of what your strategy is for the LCD monitor controller business going forward. Obviously, your competitor is getting a lot of traction on the market share and with the settlement of the law suit, could you give us a sense of how you see that going, because it is obviously kind of difficult to make it a profitable business?
Eli Antoun: Yeah. Well, let me say first that it actually is profitable and generally a significant amount of gross margin dollars with a relatively lower level of investments. So, at the operating level it's actually generating nice dollars for us. The overarching strategy right now is to drive DisplayPort into the monitor market. We have actually -- honestly, we've actually kind of walked away from -- in our roadmap from delivering the next very low ASP, relatively high cost, low entry product, even though the volumes are high, because we want to drive DisplayPort and we want to meet our end customers' requirements. Having said that, we have been planning for a couple of years on losing market share at our top-end customer, because they need to have some risk hedge against us being the single source. However, we have gone back and over the last year and a half rebuild our relationships very strongly with the top OEMs in Korea and we are starting to benefit from them because the volumes are ramping up nicely there.
Heidi Poon: Would you say that right now, the demand that these customers are offsetting at what pace versus the loss at Dell?
Eli Antoun: Yeah. Heidi, I would say, we have been ramping up in a queue and the two main monitor customers in Korea and that ramp has gone pretty well, still growing. So today actually, I would say the ramp at Dell to the second source actually were a little slower than anticipated. So, I think it's pretty even right now in terms of the September impact. And then, we're adding to that on top of that, the licensing revenue we are getting streams down all the way to the bottom, which offsets this fairly significant number of units at a lower gross margin. So, that's kind of the status of where we are between those major customers.
Heidi Poon: Great. And I would just like to clarify on the DTV product; you mentioned that you are already working with one Tier 1 on the HD 500. Are you working with any early adopter customers on the HD 200?
Eli Antoun: Not yet. We are planning to work with up to four of them but at this point in time, the solution has been in-house, actually eight days to be honest with you, and it's looking quite good. But we do not want to start engaging with customers until our estimates will be six to seven weeks from now.
Heidi Poon: Okay. With the existing wins of the HD 500, how do you see your TV pricing and margin going forward in '07, like what type of impact are you expecting?
Eli Antoun: For the 500?
Heidi Poon: Yes. Which I assume would be more significant in terms of the revenues in '07.
Eli Antoun: Yes. In calendar '07, the 500 will contribute revenues, but in the total picture our TV revenues will still be heavily dominated by the analog side of the business. So, we do not expect a swing in gross margins as a result of the DTV portion.
Heidi Poon: Okay, great. My final question is regarding your operating expense. Could you give us a sense of your strategies to make it lower, the OpEx below 40% and maybe the timing of your reaching the target model?
Eli Antoun: So, again at a high level, every quarter, to the extent that we can, we look at the areas that we can manage our operating expenses tightly and that's what we are doing right now. Again, while maintaining the ability to roll out our products as we need them, especially digital TV solutions. Mike and I are still working on overall plan -- an overall plan for what we are going to do from a short-term perspective. But the second factor here is that most of our headcount additions are actually happening in lower-cost regions as we speak, primarily in Asia and Bangalore. Bangalore is in Asia but basically in India and the rest of Asia. And that's actually been ongoing throughout the year. And then the third key factor that we can impact things on the short term is the amount of money we spend with contractors and with outsourcing.
Heidi Poon: Great. Thank you.
Eli Antoun: Thanks, Heidi.
Operator: We'll go next to C. J. Muse, Lehman Brothers.
C. J. Muse: Yeah. Good afternoon. Couple of questions, I guess first-off on the TV unit guide for December. Do you think that your customer is losing share there or are you losing share?
Mike Healy: Let me start and Eli can add to it. Right now it seems like with our top customers is -- they had some higher over-inflated expectations for the September quarter, and they have just cut back orders in December to-date to manage their inventory closer. And we have no reason to believe they are losing market share but it's still early in the holiday season. So, we have to see how everything turns out.
Elias Antoun: C. J., it's really hard to tell right now, whether it's -- until we hear all the reports, it's hard to tell whether our customers are losing share in the European market versus other competitors or the overall European market is slower from a -- when you compare it on a worldwide basis. Again, we are -- our performance is heavily dependent on the performance of the overall European market as well as the non-US, non-Japan market.
C. J. Muse: Right. I guess and what -- I guess in terms of pre-buying, say for instance buy an LG, impact would that have on your guide? Did you see any customers come in and buy for the second half of the calendar year in September, and that's causing some weakness for December?
Eli Antoun: Yeah, clearly, I think our top two or three TV customers bought a lot of inventory, more than what they needed just for the September quarter. They were buying for the holiday season, and they will see how sell through goes before they reorder and put in any substantial amount for the December quarter. So, yeah, clearly they are built -- they build for the December quarter by buying from us in the September quarter.
C. J. Muse: But I guess when I look, though at your guide for December and June and September and comparing that to a year-ago, I see unit volumes that are pretty much the same, despite unit volumes nearly doubling for the industry. So, either you are losing some share here or your customers are losing some share, or I'm looking at too fine a period in terms of 9-month period. So, I mean what are your thoughts around that?
Mike Healy: I mean, there's a couple of things. One, the two to one chip transition does affect our overall unit growth numbers year-over-year, right. Because last year, we had a lot of two chip solutions in a number of TV customers. And then secondly, one of our largest customers, six months ago, some of the low-end TVs went to a competitor, which has pretty significant volume but not much revenue impact on them. So those two things would lead you to year-over-year unit declines a little bit.
Eli Antoun: And also, we did lose share because as the markets in Japan and the US have performed -- have outperformed Europe and China and the rest of the world, where our strength, is overall we have lost some share, yes.
C. J. Muse: Got you. I guess moving on to multi-function monitors. Can you comment on what percentage of the monitor mix that equals today?
Eli Antoun: We don't give out that level of specificity, C. J. It is a pretty material amount of the total revenue -- monitor revenue number, though. But it had pretty healthy growth as I said 18% growth in units quarter-over-quarter from June to September.
C. J. Muse: I guess, how then should we think about the impact, I guess, of this then and demand for 22-inch and presumably strength of the multi-function for you and what impact that will have not only on units but also ASPs?
Eli Antoun: Clearly, the MFM space is one of our strong points. We have over 50% market share and with Vista coming out and demanding larger sizes, we think that will benefit our, it's hard to say how much today, but clearly it goes into our sweet spot of MSM.
Mike Healy: We feel, C. J. on the MSM side, while we can not go into many details, we feel pretty comfortable with our position there both in terms of current revenues as well as with the design wins that we are working on that will wrap into production as we go forward.
C. J. Muse: Okay. Thank you.
Mike Healy: Thanks, C. J.
Operator: We'll go next to Jennifer West of Merriman.
Jennifer West: Good afternoon. I had a quick question about the HD 200 that integrated chip. Is that being introduced by the end of this year? Do you think that will potentially reopen opportunities in the US in '07 or is this more of a 2008 opportunity?
Eli Antoun: We are targeting design win opportunities in 2007 for volume starting late 2007 and -- but the biggest volumes will be for '08 production.
Jennifer West: Okay.
Mike Healy: So, we could get some late design wins with it. I mean, that's our hope. Certainly it would be second half 2007 revenue, if any.
Jennifer West: Okay. And then just in general, have you seen any changes in the competitive landscape? We have talked about Broadcom kind of showing its face, but what about any of the Taiwanese competitors on the TV side?
Eli Antoun: As we said on the last earnings call, couple of -- we have seen two trends; one is that platforms are fragmenting within the customers. Meaning that there are more and more opportunities, more and more slightly smaller opportunities where customers used to design worldwide platforms. Its more -- you are seeing more now regionally targeted platforms. On the other side, we are also seeing an increase in terms of entrants, if you will into the market. On the lower-end, we have seen MStar and Mediatek. On the -- I don’t want to say higher-end, on the more integrated end, if you will, it's been Broadcom and ATI, although ATI have been there for a while. And then occasionally, we will see Zoran and then, of course, we still see investments -- continuing investments at this stage by the internal operations of our own customers, and Micronas pops up here and there.
Jennifer West: Okay. And then just kind of on the internal operations. I mean you talked about kind of this -- the trend towards the outsourcing and growing your share at ODMs. Do you have any metrics that you can share with us on kind of where you think the outsource market is now, and where you think that can go to next year or 2008?
Eli Antoun: At this point in time, I would be giving you a very high-end -- very high-level numbers that to certain amount have a slag effect. I mean, we have seen the customers in Japan at various levels starting to push towards more ODMs. We have seen more merchant opportunities in Japan, significantly, I guess -- I would say, significantly more than last year at this stage. We don't really see that -- we don't see much change in Korea. Korea is already -- was relatively balanced. The ATV portion, the analog portion of it has been pretty open for a while. The digital TV portion is the one that we are seeing a slightly higher push towards merchant.
Jennifer West: Right, thank you.
Mike Healy: Thanks Jenifer
Operator: We will go next to Jason Pflaum of Thomas Weisel Partners.
Jason Pflaum: Yeah good afternoon guys
Eli Antoun: Hey Jason.
Jason Pflaum: Just a couple of quick questions. Maybe just back to the macro environment and maybe you could talk generally about when did you start seeing some of softness coming back from your customers? When did the order cancellations start to roll in?
Mike Healy: Well, let me be clear, I mean, we haven’t seen order cancellations. It's just -- our customers' order, they give us a forecast, which certainly was higher in previous months, but as we rolled into the end of the quarter, September quarter, and we started looking out into the October, November, December, forecasts and shipments. They had cut back in light of what they saw as a growing inventory levels, you know, in their supply channel. So, again, it wasn't order cancellations, just more of a drop in their internal forecast to us.
Jason Pflaum: Okay. But it was relatively late in the quarter, that you have sort of seen this?
Mike Healy: Yes, very late.
Jason Pflaum: Okay, you gave a lot of details on your relationship with Philips. Can you just give us a sense of where your business stands with them today, as far as, your estimated share of their business?
Eli Antoun: We still have pretty much, as I had mentioned earlier, we still have -- as we are running currently in this quarter, we still have pretty much all of their Singapore business. We haven't had any of their Taiwan business, historically. And so, we believe from a volume perspective, if you include the Magnavox brand, we are probably at roughly 50% of their total business, which is about 90% of Singapore and then that’s going to half next year.
Jason Pflaum: Okay and your visibility for that half is, for that portion is pretty much -- is pretty high level at this point?
Eli Antoun: In term of design win, yes absolutely. Now, of course if they outperform their market, if they do better next year, then our volumes will be higher than we are anticipating. We are basing our information on what we have done with them this year and some estimates as to how much the market will grow and then how they will perform. But those become, you know, it's very difficult to forecast. What I can tell you that we do have the design wins in terms of that visibility.
Jason Pflaum: Okay. And you made some inroads into Sony on the U-series, seems like there is some opportunities outside of the U-series that start early next year. Can you talk little bit about that, when you see production starting, and how that could potentially offset some with new -- shared version from Sony VAIO customers?
Eli Antoun: You know, that's the difficulty. That's the dilemma we have is we need to let you know, in advance whether we have lost something, but we are unable to talk about big design wins with any customer, anywhere because that tends to talk about -- effectively that talks about the customers' plan. We were comfortable enough to say that we are mitigating our situation in China because, now we have a pretty strong position with Chinese OEMs, but also we have that Sony design win that's ramped up very nicely in China and seems to be doing extremely well. It would not be out of the ordinary to expect that platform to be sold in other parts of the world, but at this point in time, we could not confirm that.
Jason Pflaum: Okay then last question, maybe this is for Mike, as far as the two-chip to one-chip transition in TVs when can we expect that to be kind of behind us?
Michael Healy: Yes, I mean certainly, earlier I had expected a little less impact in the December quarter, but being Q2 actuals were so big, with Cortez and Hudson, it really has an impact that it drops down in Q3. So I -- hopefully the numbers go down and it's not a material number in Q4, but I'm hesitant to throw out a number, like I did last quarter.
Jason Pflaum: Okay, very well. Thanks, guys.
Mike Healy: Thanks, Jason.
Eli Antoun: Thanks Jason.
Operator: We'll go next to Craig Berger with Wedbush Morgan.
Craig Berger: Good afternoon. Thanks for taking my questions.
Eli Antoun: Hi Craig.
Mike Healy: Hi Craig
Craig Berger: I just wanted to follow up on a couple of Jason's question and I know you guys don't like to talk about specific programs at specific customers, so we won't go there, but if you could look at each of your top customers in total, or individually. For example, Sony, how much of their total flat-panel TV business on average, do you think you could get next year as a swag and kind of the same question for the next five?
Eli Antoun: You are tough, Craig. We are pretty well, ensconced at Toshiba and based on the design wins that we have done this year, I believe our position is quite strong there. And actually, Toshiba is asking us to support them worldwide, which includes whatever outsourcing efforts they have done in the past. LG…
Craig Berger: Before we move on to Toshiba, so what do you think your share is today? And you expect that to be flat for next year then?
Eli Antoun: I think if you look at all of Toshiba's TVs, I would guess that we are in the 50% to 70% range.
Craig Berger: Okay. Thank you.
Eli Antoun: And let me see, LG, you know, we had talked about the U.S. market opportunity for single chip ATV, DTV that we didn’t have, so that's not there. From everything I can tell right now with LG, we remain effectively their primary supplier, number one supplier. So, I think today, we are somewhere around 55% of their total business and we are going to be somewhere between 45% to 55% next year. That would be my guess. Philips we've talked about already.
Craig Berger: How much does Singapore of the total there?
Eli Antoun: Singapore represents, probably we are guessing almost 50%. The difficulty for us not having been in Taiwan is the Magnavox brand tends to sell quite bit in terms of volume, even though the total value in terms of revenues is relatively lower than what we do there. So we are estimating that we are at 50% of all of Philips TVs and including the Magnavox brand and that's going to maybe 25% next year. Boy, you are really cornering us on Sony. I would just say that our situation at Sony is improving.
Craig Berger: And that's about up from about 10% this year?
Eli Antoun: Up from about -- less than 10%, single digits.
Craig Berger: Okay, then Sharp and Samsung?
Eli Antoun: We continue to work on them.
Craig Berger: Okay. With respect to just the cost structure, I know you guys said you are doing most of your hiring in cheaper locations. Are there any plans to perhaps take more drastic measures?
Eli Antoun: I'm going to assume that both of us understand the word drastic the same way. So, at this point in time, no. In terms of drastic, no. I mean our core idea, our core development efforts are in those three development centers in San Jose, Toronto, and Bangalore, and they each bring significant value to the company in terms of advanced technology, in terms of product development, in terms of algorithms, and of course now in terms of platform development for TVs. So at this point in time, we are trying to manage as best as we can, but I do not see -- I do not really foresee any drastic developments over the next 12 months.
Craig Berger: Last question and then I'm finished. As you look at your rollout, you guys are about to be sampling your single chip analog, digital PurVIEW HD 200 here pretty soon. Your bigger analog competitor has had that product out for a while. Is there going to be additional continued share losses going forward, because you release that product later? What do you plan to do about it, in terms of maybe going out and compensating for the delayed timeframe?
Eli Antoun: I think the best way for to us compensate for the delayed timeframe, assuming we agree on that, but the best way for us to compensate is to have the product out as quickly as possible, with the highest quality as possible. And then put the teams together that we are already promising. Customers are really interested in this product, put together the teams that are going to support the early design wins. And, you know, based on the first few days of evaluating the product, I'm feeling quite positive about it. And then number two, based on my most recent trips to our top customers, both current and top potential new customers. People are saying if you deliver what you are saying and deliver by this certain timeframe that the opportunities are there for us.
Craig Berger: Thank you very much.
Eli Antoun: Thanks, Craig
Eli Antoun: Thank you.
Mike Healy: Operator, we have time for one more question.
Operator: We'll have our last question from Andrew Wong, American Technologies.
Andrew Wong: Thanks. Can you hear me okay?
Eli Antoun: Yeah, Andrew, go ahead.
Andrew Wong: So first question is with respect to your December quarter guidance, you guided $52 million to $57 million. And I kind of feel like over the past four quarters or so, that the out quarter revenue guidance has been a little bit too high by the Street, so I was kind of -- or consensus -- so, I was wondering if you could kind of give us some body language or direction, at least for the March quarter revenue?
Eli Antoun: Yeah, Andrew, March quarter, we are just not ready to talk to right now. I mean there are so many variables going on in the marketplace in terms of inventory levels and pricing and product transitions, that we're just not ready to give any severance of a number, due to that kind of limited visibility.
Andrew Wong: How about then with respect to, like historical seasonality for the March quarter?
Eli Antoun: The March quarter is -- you know in this business is typically down from the December quarter. And, that of course, that was also the case last year.
Mike Healy: Yes, especially in TV it's usually the slowest quarter.
Andrew Wong: Okay.
Mike Healy: But you know there's some inventory management that’s going on, that certainly depressing the December quarter. So I mean -- but we are hopeful but -- no visibility to talk about yet.
Andrew Wong: Okay and is there any way you can give us some guidelines in terms of the PurVIEW chip for calendar like '07, what king of revenue we can expect?
Eli Antoun: Again, this is -- that’s even more difficult to forecast right now. The PurVIEW HD 500 which is the currently the two-chip solution combining the digital TV solution, with the analog TV solution from Cortez, we expect to ramp up with four customers or more, over the next few months. And then the major focus really is on bringing the PurVIEW HD 200 into the market. So customers -- so we can meet the customer's design cycles beginning in March. You know, March, April of next year, through August of next year.
Andrew Wong: Okay. Thank you.
Eli Antoun: Thanks Andrew.
Mike Healy: Thanks Andrew.
Operator: That does conclude the question-and-answer session. I will turn the conference back over to management for any additional or closing remarks.
Tonya Chin: Thanks again for joining us today. As a reminder, a replay of the conference call will be available through October 31st. In addition a copy of today's earnings release is available on the company's web site. As a quick note, Genesis will be participating in the AEA conference in Monterey, California, on November 6th and 7th. The UBS Global Communications and Technology Conference in New York City on November 15th. And the Lehman Brothers Global Technology Conference in San Francisco, on December 6th. This concludes today's call. Thanks for joining us.
Operator: You may now disconnect.